Operator: Good day and welcome to the Western Union Fourth Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael Salop: Thank you. On today's call, we will discuss the company's 2017 fourth quarter results and the 2018 financial outlook and then we'll take you questions. The slides that accompany this call and webcast can be found at westernunion.com, under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in the supplemental tables with our press release. Today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2016 Form 10-K, or additional information concerning factors that could cause actual result to differ materially from the forward-looking statements. During the call, we look at some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measure on our website westernunion.com under the Investor Relations section. Our statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay noted in our press release Western Union has not authorized and disclaims o responsibility for any recording replay or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike and good afternoon, everyone. I am pleased with our fourth quarter results as revenue growth accelerated to 5% or 4% in constant currency terms driven by improved trends in our consumer money transfer business. Performance was laid by our digital business with westernunion.com money transfer revenues increasing 22% in the quarter and representing 10% of overall consumer to consumer revenues. Recently, cents from Latin America and North America drove the consumer growth, but we also start to see improved performance from the oil producing countries of the Middle East and Africa. Our payment businesses were mixed with good double-digit growth again from our speed pay and WU Way bill payment businesses partially offset by poor performance from business solutions, which led to a goodwill impairment charge. Looking back on our full year, while 2017 GAAP net income was impacted by the Tax Act and goodwill impairment, our business remained resilient and performance overall was solid. We delivered 3% constant currency revenue growth approximately 20% margins on adjusted basis and adjusted earnings per share of the $1.18 exceeding our initial outlook at the beginning of last year. We successfully rolled out our WU Way business transformation achieving $25 million of savings and changing the way we work to enable operating efficiencies that can fuel future growth and we are able to generate strong cash flow and returned over $800 million to shareholders. We remained focused on leveraging our cross-border capabilities and reinvesting efficiencies to accelerate growth in the future. In addition to our distribution network and brand, we have a combination of key pillars that differentiate us and continues to put us in a strong position in cost quarter money movement. These pillars provide a strong and unique platform with advanced technology, compliance infrastructure, global licenses, regularity relationships and settlement and effects capabilities. This gives us over the opportunity process and drive more global funds and transactions to our platform by acquiring additional and incremental consumers, financial institutions and global businesses. In consumer money transfer, we believe digital will continue to be the growth driver and our resources are focused on digital expansion, more westernunion.com countries, more mobile, more digital partnerships and more products and services. At retail, we are continuing to invest in customer experience including providing digital services to retail customers such as stage and pay through mobile. We are also utilizing WU Way and lean processes to minimize customer pain points and optimize experiences to our money transfer business. In business solutions and bill payments we are implementing new go to markets where they just continue to leverage our digital platforms maximizing digital self-service, making additional tech enhancements and driving operating efficiencies. We believe our unique platform also allows us to serve additional cross border payment opportunities. Now as we look to 2018 our financial outlook reflects our expectations for a stable environment. We believe we will continue to drive good growth from our cross border, cross currency global business led by our digital channels although we do expect declines in our US domestic manufacture business. US domestic business which represents 7% of total company revenues in 2017 experienced softening transaction trends in the back half of the year and it’s likely being affected to some degree by free P2P services in the market. The cross-border environment however remains stable and we again do not expect significant pricing moves this year. In 2017 we had the net price increases in C2C after flat average pricing the prior two years. We continue to expect good growth from our bill payment businesses. Overall in 2018 we expect low to mid-single digit revenue growth and approximately 20% operating margin with stable trends in pricing, commission rates and compliance spending. So, to summarize we ended 2017 on a positive note with improved revenue trends in the fourth quarter and overall business performance for the year exceeded our expectations. We implemented the WU Way business transformation process and met our strategies to drive accelerated growth in the future. We were again able to deliver strong capital allocation to our shareholders and we are very pleased to announce a 9% increase in our quarterly dividend. We feel good about our cross-border capabilities and strategies and look forward to continuing to execute against them to drive good results and future growth. Now I will like to turn the call over to Raj to discuss the fourth quarter results and full year outlook for 2018 in more detail.
Raj Agrawal: Thank you Hikmet. As I review 2017 financial results I will focus primarily on the fourth quarter, the similar information for the full year can be found in our press release in attached financial schedules. Fourth quarter reported revenues are $1.4 billion increased 5% compared to the prior year period or 4% on a constant currency basis. Currency translation net of the impact from hedges increased fourth quarter revenue by approximately $6 million compared to the prior year. In the consumer to consumer segment which represented 80% of company revenues in the quarter revenues also increased 5% on a reported basis or about 4% constant currency. Transactions grew 3% driven by growth in Westernunion.com. Total C2C cross border principal increased 6% or 4% on a constant currency basis, principal for transaction increased 3% and was flat constant currency. The spread between C2C transaction growth and revenue growth in the quarter was 2% with a positive 1% impact from currency. Mix was neutral in the quarter while pricing had a positive impact of 1% compared to the prior year period. Turning to the regional results for the quarter I will be referring to constant currency movement as I discuss individual country contributions to the regions results. North America revenue increased 3% on both the reported and constant currency basis, while transactions grew 1%. In the quarter, strong growth in U.S. top-line business over the Latin American and Caribbean countries, India and Africa was partially offset by declines in the U.S. domestic and U.S. domestic businesses. In the Europe and CIS region, revenue increased 6% or 2% on a constant currency basis, while growth was led by France. Transactions in the region increased 7%. Revenues trends in the Middle East Africa and South Asia region turned positive in the quarter, benefiting from improved results at oil producing countries including Saudi Arabia. Revenue in the region increased 1% on a reported basis or was flat constant currency, while transactions were down 2%. Total inbound business to India from all regions grew 7% in the quarter, an improvement after fourth quarters of declines following the government's demonetization program implemented in November of 2016. The Latin America and Caribbean region continue to deliver strong revenue growth with an increase of 21% in the quarter or 23% constant currency, driven by Argentina and several other South American markets. Transactions grew 17%. In the APAC region, revenue was flat on a reported and constant currency basis while transactions increased 3%. Westernunion.com continued its strong performance as reported in constant currency revenue of each grew 22% with transactions also increasing 22%. Westernunion.com represented 10% of total C2C revenue in the quarter. Business solutions revenues declined 4% or 8% on a constant currency basis and represented 6% of company revenues in the quarter. Revenues were negatively impacted by declines in sales of our hedging products and overall poor performance in Europe particularly in the UK, although we continue to see good growth in the education vertical. Other revenues which consists primarily of our bill payments businesses increased 11% in the fourth quarter or 14% on a constant currency basis. Other revenue growth was driven by Speedpay, electronic bill payments in the U.S., and the Pago Facil walk-in business in Argentina and represented 14% of total company revenues in the quarter. Turning to margins and profitability. Our consolidated GAAP results reflects some significant special items so we have again provided adjusted metrics to better reflect the ongoing fundamentals of the business. The adjusted metrics exclude the impacts of the tax act, the non-cash goodwill impairment charge related to business solutions, move away business transformation expenses and certain federal and state government settlement expenses. I will mention the impact of these items in my remarks, but I refer you to our press release tables for a detailed listing of the adjustment items for the quarter and the year. The non-cash goodwill impairment charge related to business solutions was $464 million pretax, the fair value revaluation resulted primarily from recent business solutions revenue and profit performance and the impact of the Tax Act. As a result of charge, GAAP operating profit and margin in the quarter were negative. Adjusted operating margin of 17.9% in the quarter compared to 19.7% in the prior year. The decline was primarily due to incremental marketing spend and the negative impact of foreign exchange. Currency negatively impacted operating profit in the quarter by approximately $13 million compared to the prior year period. Foreign exchange hedges in the fourth quarter had a negative impact of $7 million due to the strengthening of the euro and other key currencies which compared to a benefit of $10 million in the year ago quarter. For the full year, hedge benefits were approximately $5 million compared to benefit of $48 million in 2016. WU Way expenses were $35 million in the quarter and $94 million for the full year with about 90% of full year spending attributable to sovereign and consulting fees. We achieved approximately $13 million of savings from the WU Way initiative in the quarter which resulted in a total of $25 million of savings for the full year. Compliance expense was 3.8% of revenue in the fourth quarter and 3.6% for the full year. Excluding the previously mentioned adjustment items, EBITDA margin of 22.5% in the quarter compared to 24.5% in the prior-year period. Tax expense in the quarter included an estimated incremental expense of $828 million related to the U.S. Tax Act, the adjusted tax rate was 14% in the quarter compared to 7% in the prior-year period. The incremental Tax Act expense was primarily due to taxes from certain of the companies previously undistributed foreign earnings partially offset by benefits from the remeasurement of U.S. deferred tax asset and liabilities and other tax balances. The company’s 2017 U.S. Federal tax cash liability including the effects of the Tax Act and other company income and tax attributes is estimated at $780 million and will be payable over the next eight years with 8% per year payable in years one through five 15% in year six, 20% in year seven and 25% in year eight. Due to the complexity of uncertain interpretations of many aspects of the Tax Act, certain of the 2017 impacts have been provisionally estimated and additional effects maybe recorded in 2018 in accordance with SEC guidance. We currently expect our tax rate in 2018 to be between 15% and 16%. The Tax Act beat or based erosion provisions on U.S. payment made the foreign affiliate may result at a higher rate for us in 2019, but we are still evaluating interpretation as well as working on possible mitigating actions so it is difficult to project the precise impact at this stage. We will benefit from tax reform in relation to efficient, long-term access to our foreign cash as U.S. taxes on future foreign earnings will no longer be tied to repatriation. We do not expect the Tax Act to significantly impact our capital allocation plan in the next several years. The incremental Tax Act expense and the goodwill impairment charge negatively impacted earnings per share in the fourth quarter resulting in a GAAP loss per share of $2.44 which compared to a loss of $0.73 in the prior year period. The prior year period was impacted by our joint settlement agreements with Federal and State government. Adjusted earnings per share was $0.41 in the quarter which compared to $0.47 in the fourth quarter of last year. Turning to the segment and other margins. The goodwill impairment and other adjustments are excluded from segment operating result. The CEC margin was 21.4% which compared to 22.8% in the prior year period. The margin decrease was due to increased marketing spending and the negative impact of foreign exchange partially offset by lower average commission rate and lower technology expense. Business solutions operating margin was negative 3.2% in the quarter compared to positive 9.7% in the prior year period. The decline was due to lower revenues in higher technology and other operating expenses. Depreciation and amortization for business solutions as well as approximately $11 million in the current quarter compared to $12 million in the prior year period. The business solutions EBITDA margin was 8% which compared to 21.8% in the fourth quarter of 2016. Operating margin for the businesses including in other revenues was 7.8% in the quarter which compared to 6.6% in prior year period. The year over year margin improvement was driven by revenue growth which was partially offset by a negative impact of foreign exchange. Turning to our cash flow and balance sheet, cash flow from operating activities was $736 million for the full year, this includes outflows of approximately $600 million from payments related to the settlement with federal and state government and $77 million of WU Way spending, partially offset by associated tax benefits. Capital expenditures were approximately $55 million in the quarter. At the end of the quarter we had debt of $3 billion and cash of $838 million with approximately 25% of the cash held by US entity. In December we retired $500 million of 2.875% maturing notes. We returned $92 million to shareholders in the quarter consisting of $80 million in dividends and $12 million of share repurchases which represented 611,000 shares. The outstanding share count at quarter end was 459 million shares and we had $943 million remaining under our share repurchase authorization which expires December 31st 2019. Turning to our outlook we expect solid business performance in 2018 with minimal net impact from foreign exchange and stable pricing. As a result, revenue growth is expected to be in the range of a low to mid-single digit increase this year both on a reported and constant currency basis. Operating margin is expected to remain at approximately 20% as we plan to reinvest in growth initiatives to accelerate the topline in future years. We continue to expect to generate incremental savings of approximately $25 million from WU Way transformation initiatives this year which when combined with the 2017 savings would equate to a run rate of $50 million a year. As previously mentioned the effective tax rate in 2018 is estimated to be approximately 15 to 16% with the increase from last year's adjusted rate of 13% primarily due to discrete benefits recognized in 2017. We expect full year earnings per share in a range of a $1.78 to a $1.90. Cash flow from operating activities is projected to be approximately $800 million in 2018 which is net of approximately $200 million of outflows from the combination of anticipated final tax payment, related to the IRS agreement from 2011 the New York Department of Financial Services settlement payment and WU Way payments related to 2017 expenses. So, to summarize we are pleased with the solid business performance in the quarter. Delivery on our full year adjusted financial outlook and our strong cash flow generation and allocation to shareholders while we continue to implement our strategies to accelerate growth. We expect stable business and solid margins in 2018 and continue strong allocation to shareholders. Operator we are now ready to take questions.
Operator: [Operator Instructions] The first question comes from Tien-Tsin Huang of JPMorgan, please go ahead.
Tien-Tsin Huang: Thank you so much, good afternoon it's good to see the acceleration in the C2C business so I'll ask just on the digital side I'm curious how are the margins performing for digital, I know its 10% of revenues now. And is the 20% growth sustainable in your view say in 2018?
Hikmet Ersek: Firstly, I am pleased with our performance overall. I would say especially as driven by the digital as you have mentioned. Last quarter 20% growth plus 20% growth, and we are quite -- we are only in 40 countries and the growth is still coming mainly from the countries which we've been longer existing and the new countries that are small not adding too much to the absolute numbers but growing very strong. And as you know we want to be in 200 countries with our westernunion.com delivering to 200 countries. So today we are sending money from 40 countries to 200 countries and that's going to expand obviously that's what's Khalid and the team all are doing very fast. And we are really picking the main corridors where we can compete and we can really grow strong. So, I am quite optimistic. On margin side, I think that's truly good margin. Obviously, we are still in the investment mode. We are still in the marketing. Our main focus is in growth but we are very pleased also with the margin side and the .com side.
Tien-Tsin Huang: Okay good. And then I guess the only sort of wait maybe in C2C sounded like was domestic. I know you shared some numbers there, but how much of an impact did that have on C2C revenue and what's the outlook or maybe the strategy to turn that around?
Hikmet Ersek: Yeah, I think as you know just putting things in perspective, there is only 7% of our C2C revenues is domestic. And domestic money transfer is still use cases, it's still immediate cash payouts at all locations, 50,000 locations. Also, you know send using mobile, sending cash payout or using cash to cash retail money transfer. We do see some impact mid-to-zero fee like Zell or Venmoon that part, we do see some impact on our business. And it's hard to compete with zero field. But we do have still use cases. People still using us to pay out immediate cash when they want cash it's a different customer than having B2B customers.
Raj Agrawal: We saw some declines there, just to give you some metrics, it was 9% of C2C revenues in the last quarter. And a year ago it was 10% of C2C revenues so a little bit of a decline but it's manageable given the size that it is.
Tien-Tsin Huang: Got you. And maybe just one last quick one just on the Wu Way front. Just curious do you expect that to have any revenue impact in 2018, 25 million incremental that was consistent but do you see any kind of revenue list potentially.
Raj Agrawal: I mean the revenue list is going to be overtime obviously. We're investing now in various areas including digital, digital is where we would see more of the revenue lift in the short term.
Hikmet Ersek: I think Raj, remember we'd all seen recent customer experience on the Wu Way. It's a different way of go to market with customer experience. The team has doing different things like our stage, and pay transaction at Walgreens locations. Or you really do a stage transaction on your mobile you go and pay cash. That's a good growth, because air transactions that's going pretty well. So, it's done by a Wu Way initiative. Really looking at them processes going with the lean management tools for the market.
Operator: The next question comes from Jason Kupferberg of Bank of America Merrill Lynch. Please go ahead.
Jason Kupferberg: Thanks guys good afternoon. I wonder if you can just walk us through some of your segment level assumptions for revenue in 2018 between C to C, B to B and C to B. I know B to B obviously is having some challenges, I just want to make sure that we put the pieces right here.
Raj Agrawal: Yeah, I mean we’re assuming similar to slightly improving trends in some of the areas obviously and that’s why we have given a low to mid-single digit type of growth. Our consumer business overall grew 3% last year and on a constant currency basis that includes mid-20s type growth in digital so that’s the kind of range that we would assume. B to B we’ve assumed better growth than we had last year. Last year, we were down by 3% in the B to B business so that should improve this year. We’re driving a lot of activities to change the sales model in that business. Our bill payments businesses had very strong growth last year and so that’s something we’re keenly focused on. That was driven by Speedpay and then obviously Pago Facil as well. And so those businesses do better than what we saw last year then we have the potential to be at the higher end of our range, but we have given a range of low to mid-single digits just accommodating. Obviously DMT we mentioned that we expect that to continue to decline this year and then we have done a little bit of pricing in U.S. to Mexico just on the FX spread site. So, we’ll have to see some of those things play out.
Hikmet Ersek: In general, we expect both adjacent table pricing, I think we continue to see that from 2017.
Jason Kupferberg: Okay. Yeah. And maybe just on the strategic side. Can you walk us through your perspective on some of the block chain related initiatives obviously you guys are working with some companies in that space and just talk about how you see block chain getting integrated into your business and maybe give us a sense of what sort of timeframe over which that could happen and what some of the benefits could be?
Hikmet Ersek: Yeah Jason, obviously generally as a financial institution we do look at block chain in general and we’ve been doing that for a some time, I would say and we are looking especially in the processing settlement and working capital optimization are also in the regulations part on the compliance part on the block chain capabilities and we do test, we do have some tests we dripple and we did that in some corridors also and the dripple is one example. We also have on the crypto currency, some investments on the digital currency group. And so, it is definitely some part of our innovation we are looking, but so far, it’s not something to report that we’re going to change the environment, our existing capability is very stable as you can see from our performance, but that’s something that we are taking seriously and looking at it and testing.
Jason Kupferberg: Okay. And just last quick one from me. I heard you say $800 million in operating cash flow for 2018. I didn’t hear the CapEx piece, which just trying to get through a free cash number and then what have you taken to the EPS guide for buybacks?
Raj Agrawal: Yeah, I mean $800 million is the GAAP operating cash flow estimate, that includes $200 million of outflows for very special items including the settlement with the IRS from 2011, more WU Way payments and then the settlement with the NYBFS or if you add those back in it’s a couple of hundred million higher. CapEx I would expected to be in the same type of range that we have seen in the last few years 3% to 5% of revenues is where it's been, maybe towards the higher end of that range this year just given some real estate and other requirements we have. And then your last question was around share buyback. Share buyback, we have 940 million left on the authorization which is good for the next two years through 2019 and I would expect that we'll utilize most of that over the next two years assuming we don't have any other strategic things that we're looking at but that would be our base plan.
Operator: The next question comes from Darrin Peller of Barclays, please go ahead.
Darrin Peller: Thanks guys. Just start pricing on the topline, the topline outlook obviously going for an acceleration and I know FX is part of that but we saw some benefit from pricing in the current quarter as you said. Just curious what -- you're saying [indiscernible] can you repeat an element of pricing benefit versus transaction growth through the business mix perhaps once again in '18. Is that helping you drive to maybe that mid-single digit number is that just currency, I'd be curious to hear a little more what's happening on the pricing environment first?
Hikmet Ersek: I think we see the pricing environment stable and I think that as I mentioned several quarters earlier that the pricing environment has been stable because it’s complex and it’s some costs some operational expense to do this business to operate in 200 countries, so it is hard to -- our operation model reflects our pricing in the market, we are around an average 15% more pricy than the other competitors but has been stable. I don't see any changes here short term if nothing something big thing happens but I don't see the changes. The other thing though is also I would say that we're going to continue to do pricing investment in certain corridors but overall the transaction trends has been also stable. It's not like only on the pricing side so the transaction has been also very stable and very strong growth on the dotcom side on the digital side.
Darrin Peller: Alright, that makes sense, but just one other question, when thinking about the margin profile and the outlook, again you're showing some acceleration too low to mid-single digit for revenues, you also have the benefit of now hopefully seeing some of the impact of the WU Way initiatives in terms of coming out, I know you adjusted out but essentially making the business more efficient. I guess I'm just wondering in terms of margin expansion potential you're calling for I think 20% again, I guess I just wonder what you're planning on investing and what kind of growth rate and the topline you would actually need to get a more material amount of operating leverage in the business given the backdrop of acceleration.
Raj Agrawal: It’s a very good question, we've given an outlook for low to mid-single digit revenue growth this year and ultimately the level of margin will depend on where the actual growth level comes out and we said approximately 20% so as we said before it could be above, it could be below that depending on where the revenue growth is. We need sustainable mid-single digit growth at least to be able to get some leverage. We are investing back in the business this year, the most key area that we're investing is back in the digital expansion, we really want to be in 200 countries and territories as fast as we can and that's going to be over the next few years, so that takes time and money to get their channel expansion not just geographies but also more mobile, more accounts, those kinds of touchpoints. And then we're also continuing to invest in our technology area in things like information security, privacy requirements, those kinds of things so that's where the investment is going, but we absolutely have the potential to drive better profitability in the business if we continue to get sustained growth at the mid-single digit level.
Operator: The next question comes from Brian King of Deutsche Bank. Please go ahead.
Brian King: Yeah hi guys. Just wanted to make sure I had it correct on the stronger growth rate in the C2C in the money transfer business. I know it came in I guess 4% constant currency that's up quite a bit from 1% last quarter constant currency. Is that mostly due to economic improvement worldwide because even the digital business is about the same growth rate it's been in the past. So, I don't think that was a major driver.
Raj Agrawal: Yeah. There are two key areas that helped the growth improve from the last quarter. Middle East, Africa and South Asia, so the trends although they are still flattish, they improved dramatically from the third quarter. And we're getting the benefit of overall better performance in the oil markets, including Saudi Arabia which became positive in the quarter. And then India started to grow over from a year ago, the demonetization that happened. So that's a key driver. And then North America was slightly better as well given the strong U.S. dotcom business. So those are the two key drivers along with good growth overall in other parts of our business.
Brian King: So, it sounds like that should be pretty sustainable as we go into 2018, now that those comps have gotten easier?
Raj Agrawal: I think from a comp standpoint, it will be good for the balance of the year, we would have to assume a stable environment in the oil markets. And so, assuming a stable environment it should be better. And then we're always looking at opportunities to drive more market share and other growth in our key markets.
Brian King: Okay. And then the margins in the fourth quarter were below ours and I think street estimates. But it sounds like you guys were expecting to spend little extra on marketing. So, is that true it kind a came into align your expectations and for modeling purposes should we expect the fourth quarter this year to kind of match the lower margin that we saw in this quarter?
Raj Agrawal: Yeah. The fourth quarter of last year we spent almost 5% of our revenues on marketing it was 4.9% which is higher than it's been for some time. and it was largely timing from the first part of the year. and that's what we expect to do. We've got some 20% operating margins for the full year which is what we had expected. And that's about what we're guiding. It's hard for me to tell you what to think about the fourth quarter of this year which is really going to depend on how we rollout some of our programs. We'll give you more color as we have it as we move through the course of the year.
Brian King: Okay, superb. And then last question for me. Hikmet, I know you talked about the U.S. domestic transaction is going to be a little bit weaker due to P2P services. What's the risk of that moves in to cross boarder P2P going forward?
Hikmet Ersek: I think I don't see that risk high. I mean in certain quarters it could happen, but I don't see that risk high because we've been doing that cross border, cross currency you need to license this. You need definitely the compliance programs, you need the multi-currency settlement, all the platforms which differentiates us from others have been implemented, it's hard for duplicate, it's hard to rebuilt it. and that's what we are advancing and that's what we are really investing in. And some companies which been doing this like competitors been only in the one country forever they couldn't expand their services to other corridors because it's hard. It's hard to go through a country and doing the services. It's hard to serve the customers in exotic currencies or minor currencies in minutes dropping money in minutes. So that's our competitive advantage, that's what we are building on, that platform and talking all the time. So, I think that it will be hard to have the P2P like zero fee, P2P into other countries.
Operator: The next question comes from Ashwin Shirvaikar of Citi. Please go ahead.
Ashwin Shirvaikar : So, a question on consumer behavior. Are you seeing any deviations from normal behavior due to changes in U.S. integration rules? So, for example our checks saw that the send to El Salvador kind of grows after diddling on the side of the TPS. I don’t know if that’s one time in nature, you seen the same kind of thing particularly in your send on the U.S. to LatAm or Caribbean. And I guess the flip side of it is you see higher send amount, that’s worth calling out as wages [indiscernible] and either things like that?
Hikmet Ersek: So, we don’t see many -- I mean we operate obviously 40,000 corridors or whatever that is. We don’t see many changes on the same side. If that’s the question from customer behavior. Certain corridors there will be always some behavior changes depending on the regularity environment, depending on the pricing, depending on the product. But generally, I would say that we don’t see it. The second thing is also what we see Ashwin is on the digital side, the customers are still slogging in network. So, it’s still incremental, 80% of the customers still the number has not changed. Are really new to our westernunion.com they didn’t use at least the last 12 months our services and they are really new to our Western Union digital environment. That behavior is continuing. So, with our digital environment, we are getting new customer segment, with retail it’s all about customer experience keeping the customers within our network. Is that an answer of your question?
Ashwin Shirvaikar: Yeah. Now there is a follow-up question, I’m going to line up the number to that question. The tax rate for 2018 I guess that’s stayed hard. I guess looking ahead to calendar 2018 given that you lost your ability to use some of this cash management strategy, can you sustain this 15% to 16% tax rate that you have in 2018 into the future or should we be looking at that level?
Raj Agrawal: Yeah, just a little bit of back on this, 15% to 16% this year. If you look at U.S. tax reform where we will benefit from the lower U.S. corporate rate of 21% on income that is tax that U.S. rates are some part of income and then most of our foreign income will be tax now at the minimum 10.5% rate. So, the combination of those two things are giving us 15% to 16% rate this year. There is a third piece which is based erosion or beet [ph] which you may have heard about which this year is not much of an impact to us, next year it goes from 5% this year to 10% next year and that could have an impact of increasing the rate for us. We think there are unintended consequences of this, it effectively creates double taxation for a portion of our income. So, we’re looking for some kind of legislative solution to it that will help us and other companies or some kind of guidance and that we are also looking at structurally addressing that potentially this year. So that has the potential to raise the rate by a few points. Actually, we’re not able to solve any of it but we're certainly working very hard this year to try to solve a portion or all of that.
Operator: The next question from Laura Foreman of Goldman Sachs, please go ahead.
Laura Foreman: Hi, thanks for taking my questions, I just wanted to go through some of the different corridors just in terms of -- to what end business the spends have been consistently strong and over 20% growth, is that something that you think you can continue in 2018.
Hikmet Ersek: Well we're hopeful that it’s going to continue. I think just look at it in terms of total C2C business. Latin America has been strong driven by Argentina and Brazil, Chile even Mexico LatAm has been doing opening up the smaller piece, so we've gotten the benefit of some of the market changes that have been taking place there, so we're hopeful that we can continue some good growth there. I don't know if it'll continue to be at the same level but we're still hopeful of some good growth in that market.
Laura Foreman: And then for US and Mexico it’s the second quarter of continued weakness there, I think you mentioned some pricing changes. Can you give us any more color there?
Raj Agrawal: Yeah when the transaction growth actually improved in the fourth quarter from the previous quarter and our pricing from a fee standpoint has been quite competitive but we did review some FX spreads in the market for US to Mexico to try to grab some more share and so that's where really why you're seeing some revenue weakness there. Over the last two years we've done a really good job of gaining more share in that corridor with our 30,000 plus locations in Mexico, the ability to pay into the majority of accounts there so we're well positioned in the overall Mexico market I would say is also just softer given the environment that we're in.
Hikmet Ersek: I think over the years we've been capturing good market share there, but if you look at the last three-four-four years I think the team is doing a good job to grow this business.
Laura Foreman: Okay and then just one question on compliance, I don't think you gave any guidance for 2018 in terms of where it falls into long term range, any thoughts there?
Raj Agrawal: Yeah, with last year we ended up at around 3.6% of revenues for compliance as a percent of revenues, and this year we expect a similar range, we're not going to give the outlook any more on the compliance spend it’s become more stable now. It is part of our normal business but I don't expect it to change materially this year.
Operator: The next question comes from Daniel Hussein of Morgan Stanley, please go ahead.
David Hussein: Hi, thanks for taking the question, just to clarify the base erosion, is it as simple as five incremental percentage points to the tax rate to 21% for 2019 and then besides legislation were there other operational office [ph] that you think you might be able to implement, thanks.
Raj Agrawal: On base erosion I wish it were as simple as just adding the five points, it’s complex, it’s basically base erosion taxes, US payments to foreign affiliates so yes and there are complex formulas that you have to work through but it's worth a few points to us so it’s absolutely a key focus for us to try to solve that internally and then the 15 to 16% rate for this year really takes into account all the other puts and takes and in tax reform it ends up not being a significant impact for us this year overall, but it is reflective of everything that we know other than the base erosion provisions that may impact us more next year.
David Hussein: Okay, perfect. And then I apologize if you covered this. You didn't mention the hedge gains. So, were you expecting a meaningful margin impact from hedge losses this year that would potentially fall off in 2019?
Raj Agrawal: We had a negative impact from the hedges all year on the margin. And we don't expect the significant impact from currency overall. There is some impact from hedges, there is impact of stronger foreign currencies that helps to offset that. But when you net it all out there is not going to be a significant impact from currency in 2018. We are expecting a little bit of a loss on our hedges this year, just given where currency rates are, but that's more than offset by the strength in foreign currencies against the dollar on our overall revenues and profits.
Operator: The next question comes from James Friedman of Susquehanna. Please go ahead.
James Friedman: I wanted to ask you about -- I realize it's more of a journey than a destination, but with regard to India, does it still like return the corner there?
Raj Agrawal: You broke up at the last part, something about India?
James Friedman: Sorry. I was asking with regard to India. Does it feel like we turned the corner there at this point?
Hikmet Ersek: Well, India I think. India as you know many strong quarters India from U.S. to India, Europe to India and for Middle East to India. Definitely all projects in countries have been showing improvement including Saudi Arabia which is extremely strong quarter for India. And also, demonetization means that we are -- that's about last year quarter 4, and it's a grow over there. so that helps, and our business in India we are very pleased, and we also have a lot of India to account growing very strong. As you know we have over 100,000 locations in India plus we have millions of accounts in India which people are choosing now sending either to a location or an account. And we do see also a little bit better principle amount here, and using the online sending, dropping money on an account. So, the India performance has been very good for us.
James Friedman: Okay. and I just want to follow up with regard to crypto. I heard your answer earlier taking it, but we get a lot of questions about that. If you could give us some sense of where we are in your perspective in the lifecycle of crypto applications in money transfer. I mean is it a technology looking for a business or do you see real use cases here?
Hikmet Ersek: Well first, we have to differentiate between cryptocurrency and block chain obviously. And then block chain is definitely something interesting as an application, and which we may use it in several parts as I mentioned earlier is it a regulatory technology or digitally identifying or is it the settlement. And we with people do with ripple do some tests with some corridors on the settlement side. Is it dollar to pesos on that side, can we use that on a real time block chain environment. And so, this is the test we are on that. On the crypto currency side, look, currency is currency. I think the big advantage we're seeing in globally is that we turn any currency to a use cases. So, we really turn on ordinary currencies so people really can use the currency to their day-to-day expenses or day-to-day use cases. And if digital currencies are the ordinary currency which is used by a country then we could do it, but it is hard to do car wash with a bit coin or go buy a milk or pay school fees with a Bitcoin in Bangladesh or in Ghana or in Chile. So, I think that’s the environment. And other thing is also look we are regulated environment that’s one of our strongest asset that we are regulated in 200 countries and we response to regulated environment, we do have the compliance programs for 40,000 corridors and within that environment with the Reserve Bank together, we apply our operations to the regulatory environment. So, it’s important for us that this currency should be regulated and so we can really serve the customers in the right way.
Operator: The next question comes from Rayna Kumar of Evercore ISI. Please go ahead.
Rayna Kumar : It is good to see the strong growth in India. I’m just wondering if you have seen any changes in competitive environment just given one of your largest competitors is making a big push in the region.
Hikmet Ersek: Well in India, I think generally it fits always where to send money from which corridor to where. The biggest advantage of Western Union is that we are in 200 countries with 500,000 locations plus with our 40 outbound, the online outbound countries. So, if you want you send the money with Western Union, it stays in the system. So, we can distribute to 100,000 locations and to our more than 600 million or 700 million accounts in India in minutes and that’s the biggest advantage we have. We feel quite competitive in India. You can see from our recent report that our India business is doing well and definitely there are the competitors like Ria or MoneyGram are in the markets, but that has been the other markets also, big advantage we’re seeing is that we are in many corridors and we are really in many portfolios and we serving the Indian customers.
Rayna Kumar: It’s very helpful. Could you discuss your commission expense outlook for 2018?
Hikmet Ersek: I think commission has been quite stable, agents like us, we like the agents and the business works pretty well to prices and commissions which is very related to each other obviously has been very stable. If you look at that also over the years the commission rates have been declining. It helps also on our productivity and that is also part of that mix obviously mix corridors help us also to drive the commission rates down. But the agents have been very cooperative with us and that has been a good environment.
Raj Agrawal: Yeah, the other thing the digital business growth that we’re getting is helping the overall mix. There are multiple different mix impacts so as because we only pay commissions on one side of our transaction that’s only helps the commissions. But then we also have to look at the overall distribution cost and minimize funding cost in the dotcom business. So, there are various mix impacts that are helping as well.
Rayna Kumar: Got it. I noticed your cross-border principle accelerated to 4% constant currency in the quarter. What were the drivers to that and is that sustainable this year?
Raj Agrawal: Yeah, I mean the improvement that we saw in some of key regions the Middle East, Africa, South Asian region, that's one of the key drivers of the improvement of principal growth, cross border principle and you know over the last couple of years you've seen our cross border principle has been somewhat negative due to that region's performance so now that we've had a little bit better performance that's also helping us from a cross border principle standpoint and this year the World Bank estimates for last year lease were for around 3.9% growth and we grew around 3% so we'll see the World Bank may continue to revise its outlook as it always does so we'll have to see what ultimately comes out.
Hikmet Ersek: The only thing I would like to add is that you know principle is good, also revenue growth is very important for us profitable revenue growth, so that has been very -- I'm very pleased with the performance of the teams there, and that’s something they'll keep an eye also.
Operator: Yes please, the last question will come from Bob Napoli of William Blair, please go ahead.
Bob Napoli: Thank you, appreciate it. The B2B business as you pointed out decelerated quite a bit in the fourth quarter down 3% for the year and I think you suggested -- you guys had suggested that it was going to be better than the down 3% in 2000 at least in your forecast in 2018, given the deceleration in the fourth quarter, what is going to turn that around quick enough to get back in the range of better than down 3.
Hikmet Ersek: Good question Bob, I think what we are trying to achieve here is definitely our sales approach getting new clients. New client acquisition has been a little bit slow in 2017. We do see good revenue growth on our payments part of the business but on the trading parts we have been very slow in hedge and forwards, that has been really declining that has been the challenge but on the payments side like university payments or NGO paid [ph] has been doing good performance and going to continue to do that and the focus is definitely on the forwards and hedges and turning that around that will help and acquire new customers that’s something that the team is very focused, we put a new sales force and new sales approach there and that's something that the team is focused on that currently.
Bob Napoli: Okay thank you. The Speedpay business can you remind me what the size is of Speedpay? What is the growth rate of that business? What do you expect that to be over the next few years?
Hikmet Ersek: So, it's about 4%. It’s about 400, little less than $400 million of the last year of our business and it’s a good growth it’s a good business we really like it and it has been a double-digit growth over the years and that has been a very good performance and so that's something that the billers like us also and customers use that that makes the payment very easy. It’s a US business it’s a domestic business and it’s not cross border and we’ve been very pleased with the performance.
Bob Napoli: Okay, and then last question. Your business I think has held up a lot better than many would have thought a few years ago, but as you look at your business today and get a little bit of an acceleration in the quarter what do you view, what do you keep an eye on as your biggest risks or competitors? Is it other blockchain players, cross border, is it things like Venmo or what is it is it Ria, is it just other companies in your space. What is the biggest competitive threat, especially since you still have that pretty substantial premium on the pricing side?
Hikmet Ersek: So that's a good question obviously. I'm thinking about that daily. So, one thing I realized also is that over the years certainly build something is really very competitive. But having this cross-order engine or platform with the regulatory compliance and technology advantage has been working and working and we are now what we are doing is that really taking that to the next stage with our WU Way and technology investments. We are taking that also to the next stage. So, one thing is that we are going to the market with our WU branded products like we are now retail with Western Union and on our Westernunion.com with WU branded products. The other thing is also we see good growth is that to white labeling of our platform to partners like financial institutions or big businesses. I think I got more and more calls from other businesses also from financial institutions, can you help us to deliver exotic currencies or minor currencies to certain countries or having also businesses delivering our platform doing the multi-currency settlement for many countries or also the compliance programs for many countries. That’s something that I think coming here we are very focused on that, besides committed to our Western Union growth. This platform could be used also for some white labeling to extent our platform our new businesses and your financial institutions.
Michael Salop: Thanks everyone for joining us this afternoon. We wish you a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.